Operator: Ladies and gentlemen, thank you for standing by and welcome to DXP Enterprises, Inc. fourth quarter 2020 earnings call. At this time, participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to Mr. Kent Yee, Chief Financial Officer. Please go ahead.
Kent Yee: Thank you Michelle. This is Kent Yee and welcome to DXP's Q4 2020 conference call to discuss our results for the fourth quarter and fiscal year ending December 31, 2020. Joining me today is our Chairman and CEO, David Little. Before we get started, I want to remind you that today's call is being webcast and recorded and includes forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. A detailed discussion of the many factors that we believe may have a material effect on our business on an ongoing basis are contained in our SEC filings. However, DXP assumes no obligation to update that information as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our earnings press release. The press release and an accompanying investor presentation are now available on our website at ir.dxpe.com. I will now turn the call over to David to provide his thoughts and a summary of our fiscal 2020 and fourth quarter results.
David Little: Good morning. And thank you, Kent. And thanks to everyone joining us today on our 2020 fourth quarter and year-end conference call. I will begin today with some perspective on the fourth quarter and year-end results, current industry conditions and our position going forward. Kent will then take you through the key financial details after my remarks. After his prepared comments, we will open for Q&A. As we all know, everyone navigated through the many challenges of 2020 and I am proud and encouraged by the compassion and commitment demonstrated by our DXPeople throughout the year. As I outlined in the third quarter, there are some areas where the impact and progress is not where we would like it to be, but given the unprecedented nature of COVID-19 and the continued effects of managing a virus pandemic, I am proud of how we collectively found ways to move forward and how we finished the year. DXP started fiscal 2021 believing we were going to have a reasonable organic growth improvements, consistency in gross margins, complemented by a robust pipeline of acquisitions. We delivered on the majority of these goals in 2020 despite the global pandemic and associated upheaval. While we saw signs of slowing in our project business going fiscal year 2020, we felt optimistic and encouraged by the projects we saw coming. Unfortunately, as we all know, we then began to take on a new language and understanding around the global pandemic called COVID-19 and the essential nature of our business. This designation provided a renewed perspective for many of us and here at DXP, it really underscored the fact that DXP, we are the feet, legs and arms that keep the wheels of the industry and society in motion. DXP, its mission, products and services and what we do is essential, sourcing products and services that you need and that are essential. Our people were focusing their efforts on what they could control by creating a safe and healthy environment for all our stakeholders, our outstanding experiences from our customers and improving our culture and belonging and driving profitable growth in our key products and services. Our strategy has always been to combine financial strength, talent, resources, technology and capabilities of a large company with the fast, flexible and entrepreneurial capabilities of our local businesses to deliver superior value to our customers and our suppliers, while providing better growth opportunities for our DXPeople. We found that during COVID-19 that there has been no better time than now to emphasize these qualities while being fast, flexible, convenient and providing technical solutions for the different end markets we serve. From a sales per day standpoint, DXP remained resilient and did not see sales bottom until July at $3.2 million sales per day. This was after many of the stay-at-home orders had been in effect and lessened but points to the fact that DXP had a strong Q1, reasonable Q2, but really began to see the impact in the third quarter. From July, we continued to climb upwards and sales per day continued to expand through October, but that softened a little bit towards the end of the year. Our fourth quarter results reflect sequential growth and improvements in our end markets and the industry indicators such as PMI and metalworking business index showed improvement. Oil and gas also started to see signs of firming and moved toward eventual recovery. Today, DXP sales for Q4 increased 5.7% sequentially or were $232.7 million or $3.97 million per business day. Our profits for the quarter were impacted by some one-time or unique items in the quarter, which Kent will review during his comments. But adjusting for these items, earnings also showed continued improvement and resilience as we grew both sequentially and year-over-year during the quarter. Thank you to the 2,281 DXPeople for your hard work and dedication and finishing the year as strong as possible. It is always my pleasure to share our fourth quarter and year-end financial results on your behalf. In terms of cash flow and liquidity, we generated $101 million of free cash flow in 2020, which combined with a flexible capital structure put us in a position where we could keep our eyes forward and be opportunistic during this pandemic cycle. During the fourth quarter, we successfully refinanced our term loan with a new term loan B and enhanced our financial liquidity and flexibility. We used this position to pivot towards acquisitions at the end of the year to further enhance our end market exposure and position us better for a rebounding economy when it comes. We started the year off strong, completing two acquisitions in January and February and then took a proactive pause from March until we could fully understand the impacts of COVID on our business and end markets. We then picked things back up in the second half of the year by closing four transactions. We are excited to have six new companies full of DXPeople that have been resilient and great additions to the DXP family. These include Pumping System, Inc., Turbo Machinery Repair, APO Pumps & Compressors, Corporate Equipment Company, Pumping System, Inc. and Total Equipment Company. To all of you, welcome to DXP and we are excited to have you and we look forward to your future where we can visit and spend more time in person face-to-face. DXPeople have continued to find ways to deliver financial results and position us well for all our stakeholders in the face of extraordinary challenges. This is evident by our sequential growth, closing year-end acquisitions and the overall teamwork of DXPeople. We continue to build our capabilities to provide complementary sets of products and services in all our markets, which makes DXP very unique in our industry and gives us more ways to help our customers win. We also are constantly looking at reviewing opportunities where we can grow market share. We complement our strategy with a relentless drive for progress that includes business and operational initiatives which we believe will allow us to steadily improve our performance for all our stakeholders. As we go into 2021, we are excited about the opportunities ahead and the potential DXP has to continue to scale and grow within existing and new markets. As we discussed during the third quarter, DXP's goal is to grow all our markets and have a balanced end market exposure. Our bigger opportunities and targets are food and beverage, sanitary, water and wastewater, municipal, chemicals, alternate energies, refineries and military. Today, DXP sales in fiscal 2021 were $1 billion. Service centers lead the way, followed by supply chain services and then innovative pumping solutions. The point here is the diversity of end markets and MRO nature within our service centers allowed us to remain resilient. Supply chain was impacted by oil and gas and transportation related end markets and were subject to the COVID requirements of their customers as they were supportive of all safety protocol and demands. As discussed during Q1 through Q3, we experienced the largest sales decline within our innovative pumping solutions business segment, IPS's tied to capital projects and the oil and gas industry and has yet to work through what ultimately is a demand problem that has been accentuated during the COVID crisis. We have been cutting expenses to make money on lower sales demand, including shuttering one of our fabrication facilities. However, we do see the start of a slow demand recovery and improvements in industry indicators. In terms of the strength in the IPS backlog, we are now at 8.6% below 2017 average backlog numbers and continue to see declines are consistent with our customers cutting capital budgets. That said, we are focused on seeing the bookings for February and March, which will be a strong indicator for the year. Our main focus within IPS is managing to the demand levels we have today and finding opportunities in other markets such as biofuels, food and beverage and water and wastewater. DXP's overall gross profit margins for the year were 27.8%, a 40 basis point improvement over 2019 and highlights our ability to achieve one of our goals coming into the year. And particularly, we wanted to show improvement within the IPS gross margins, given the commentary last year around unique items and IPS jobs. That said, IPS improved gross margins 79 basis points year-over-year in the midst of a significant decline in demand. Overall, DXP produced EBITDA of $59.5 million and EBITDA as a percent of sales at 5.9%, which is consistent with our goals in a declining market environment. In summary, we are pleased with our overall performance in 2020, obviously an extraordinary year that presented societal changes but also highlighted and/or accentuated certain business trends that provided us with areas to enhance and focus upon as we go into 2021. We look to continue to drive improvements in our organic sales and marketing strategies, drive further sales growth through acquisitions and anticipate fiscal 2021 being another year of volatility, but one where we cannot take anything for granted and need to proactively take market share. We continue to believe the pace and magnitude of recovery going forward will vary greatly by geography, customer type and end markets. Despite these challenges, we continue to execute on our value proposition, both for our customers and our company. DXP's sales professionals continue to use a variety of tools to contact customers as well as they have started going back to traditional methods of entering customer facilities. We will look to ways to enhance serving our customers and knowing more about the different types of customers that DXP serves and ensure we are maximizing the number of opportunities for DXP. We will continue to use whatever medium the customer prefers and tailor our approach to their needs. DXP is always customer focused, especially in the environment we have today where listening to the customer matters. In summary, I am very proud of how our team has performed in this extraordinary environment to keep everyone healthy and safe, serve and support our customers, manage our business to lower near term demand and make care of each other along the way. As a leading distributor of highly engineered products and services, we believe DXP remains well positioned to support our customers and navigate this challenging period for the benefit of all stakeholders. It is important to note that visibility remains limited and uncertainty persists as customers continue to manage through a challenging macro and pandemic outlook near term. Like many, we are hopeful the business environment continues to recover as vaccines are deployed further in the coming months. But we remain cognizant of the potential impact of any resurgence in COVID cases, timing of mass vaccine distribution and possible fiscal policy changes from the new administration. I would like to sincerely thank all of our DXPeople who continue to show up to work and who are working remotely every day with their passion, commitment, teamwork and selfless service. We have a tremendous team and it is an honor to overcome the collective adversities we have all experienced and to deliver value for all our stakeholders. With that, I will now turn this to Kent to review the financials in more detail. Kent?
Kent Yee: Thank you David. And thank you to everyone for joining us for our review of our fourth quarter and fiscal 2020 financial results. Q4 financial performance reflects sequential sales increase as we move past the trough impacts of COVID-19 in the third quarter. Innovative pumping solutions and supply chain services grew sequentially, which is positive given both segments have been impacted the most by the negative impacts from the pandemic. Service centers had a slight sequential decline but given the end market diversity within this segment, we feel fine as it pertains to the outlook. That said, DXP finished the year in a strong position, closing four acquisitions, successfully refinancing our term loan B and continuing to drive free cash flow generation with $15.3 million in Q4. Overall, DXP's fiscal 2020 results were good to see and reflect the following, strong acquisition activity completing six acquisitions in 2020, sales demand bottoming from the pressures of COVID-19 during Q3, business segment strength within service centers, followed by supply chain services and then IPS, gross margin improvement year-over-year, SG&A reductions with a focus on sizing to business activity and strong quarterly and yearly free cash flow generation. Similar to the third quarter, in the fourth quarter, we took $11.5 million pretax charge related to a write-down associated with assets impacted by COVID-19. For the full year, this amounts to $59.9 million in pretax charges related to the impairment of goodwill and related assets associated with the pandemic. Additionally, we incurred $5.4 million in charges in the fourth quarter associated with the refinancing of the term loan B. Throughout the remainder in my comments, I will adjust for these items as they are non-cash or unique and one-time and relate to following the appropriate accounting guidance but adjusting provides a more complete view of our performance in the fourth quarter and for the full year. As David mentioned in his comments, fiscal 2020 presented unique challenges and took a turn that surprised all of us. Never before had many of us dealt with a global pandemic as well as the societal and other challenges that surfaced during the past year. These circumstances along with a rather unique and contentious election year will make it one of the more notable fiscal years whereby we collectively maybe understood what it did mean to have a clear vision and see things more transparent and honest. That said, DXP did a marvelous job of navigating these circumstances and executed our plans, while keeping health and safety at the forefront. Total sales for the fourth quarter increased sequentially 5.7% to $232.7 million, reflecting improvements from trough levels in Q3. We experienced a 62.8% and 7.1% sequential sales growth in IPS and supply chain services, respectively. Acquisitions contributed $4.7 million during the quarter. Total sales for DXP for fiscal 2020 were $1 billion, down 20.7% compared to fiscal 2019. For the full year, acquisitions contributed $19.6 million, including Turbo Machinery and Pumping Systems. Average daily sales for the fourth quarter were $3.8 million per day versus $4.8 million per day in Q4 2019. Average daily sales for fiscal 202 were $4 million per day versus $5 million per day in fiscal 2019. Adjusting for acquisitions, for the full year, average daily sales were $3.9 million per day. In terms of our business segments, all three were impacted by COVID-19 with service centers being impacted the least declining 13.1% year-over-year, followed by supply chain services with a decline of 23.2% and then innovative pumping solutions declining 38.1%. Regions within our service center business segment which experienced sales growth year-over-year include Alaska, California and the North Rockies. Key end markets driving the sales performance include food and beverage, mining, municipal and specialty chemicals. Supply chain services performance reflects the pullback in activity at oil and gas and transportation-related customer sites. Additionally, SCS throughout the year dealt with customers temporary closing for periods of time due to COVID or rationalizing some facilities altogether. As mentioned during our Q3 call, our supply chain service segment was anticipating sales growth in the fourth quarter and grew 7.1% sequentially and we will look to carry that into 2021. In terms of innovative pumping solutions, as David reviewed, we are monitoring the backlog as we experience declines. As we all know, IPS is tied to capital budgets and the oil and gas industry has yet to work through the supply and demand imbalances that have been accentuated during the COVID crisis. However, we do see the start of a slow demand recovery and improvements in our industry indicators. As we review monthly bookings and backlog as mentioned during Q3, we are comparing these data points to our fiscal 2015 and 2016 averages as well as to fiscal 2017. Our Q4 average backlog was down 8.6% from the 2017 average backlog and down 25.4% from the 2015 average backlog but is up 27.2% compared to the 2016 monthly average backlog. Point here or the conclusion is, is that we are now trending slightly above 2016 sales levels based upon where our backlog stands today. Turning to our gross margins. DXP's total gross margins were 27.8%, a 40 basis point improvement over 2019 and highlights us achieving one of our goals in 2020, which was to improve gross margins, especially within IPS. We were able to accomplish that goal despite the decline in demand for IPS work. Gross margins improved 160 basis points year-over-year within supply chain services, followed by 79 basis point improvement within IPS and a 39 basis point decline within service centers. In terms of operating income, combined, all three business segments declined nine basis points in year-over-year business segment operating income margins versus 2019. Total DXP adjusted operating income decreased 194 basis points versus 2019 to $33 million. Supply chain services improved operating income margins 137 basis points resulting in $13.2 million in operating income. Compared to 2019, the improvement in SCS margins primarily reflects the removal of implementation cost, which occurred in 2019. Innovative pumping solutions improved operating income margins 44 basis points compared to 2019, which is notable once again, given the contracting market environment. Service centers operating income margins decreased 76 basis points year-over-year resulting in $70.4 million in operating income. Our SG&A for the full year declined $34.8 million from 2019. These reductions reflect us adjusting for the current level of sales demand. Since Q1, we have reduced SG&A $16.6 million, which reflects our ability to quickly reduce SG&A levels and aggressively attack discretionary spending. We remain mindful that the contraction associated with the Coronavirus is passing and with the recent distribution of vaccines we want to be in a position to respond to increased customer needs as we believe those who are in a position to respond today and tomorrow will gain the most market share. We are starting to see this within our service center segment. We are selectively positioning ourselves to grow and take market share where appropriate. Turning to EBITDA. Fiscal 2020 adjusted EBITDA was $59.5 million. Adjusted EBITDA margins were 5.9%. In terms of tax, our effective tax rate has a lot of noise this year due to the impairments and associated book losses, as well as significant increased benefit from R&D tax credits that DXP had previously received in the past but not at absolute levels we received during 2019 and the associated amended returns for 2016 through 2018. As such, we have attempted to normalize for these impacts and believe a 22.5% rate can be used to calculate adjusted EPS performance for the full year. In terms of our EPS, our adjusted net income for 2020 was $14.1 million. Our earnings per share for fiscal 2020 was a negative $1.45 per share. Adjusting for the impairments and unique and one-time items associated with the COVID-19 and the normalization of the tax rate that we just reviewed, our adjusted earnings per diluted share for 2020 was $0.76 per share versus $1.96 in 2019. Our adjusted EPS in Q4 was $0.19 per share. Turning to the balance sheet and cash flow. Please keep in mind, based upon the timing and closing of the four year-end transactions on December 31, from a GAAP standpoint, we are including the balance sheets of Total Equipment, APO Pumps & Compressors, Corporate Equipment and Pumping Solutions. In terms of working capital, our working capital decreased $66.8 million from the prior year to $158.6 million. As a percentage of sales, this amounted to 15.8%. This primarily reflects the decline within our project related business and drives us to the point where we are in line with our historical averages. In terms of cash, we had $117.4 million in cash on the balance sheet at December 31. This is an increase of $63.1 million compared to December 31, 2019. In terms of CapEx, CapEx in the fourth quarter was $142,000. CapEx in fiscal 2020 was $6.7 million or 0.7% of total sales. Compared to fiscal 2019, we are down $15.4 million. As a reminder, CapEx reflects our ability to control capital investment and the minimal maintenance needs of our business. During fiscal 2019, we were focused on investing in the business and as 2020 began to unfold, we curtailed the growth investment while we focused on liquidity and flexibility. Turning to free cash flow. We generated solid operating cash flow during the fourth quarter as we did during the second and third quarter. During Q4 and for fiscal 2020, we had cash flow from operations of $15.4 million and $107.7 million respectively. For fiscal 2020, this translated into $101 million in free cash flow. Return on invested capital or ROIC for 2020 was 16%. At December 31, our fixed charge coverage ratio was 3.5 to 1 and our secured leverage ratio was 3.2 to 1. Total debt outstanding at December 31 was $330 million, which reflects the refinancing of our term loan B. The refinancing reset our covenant and provided additional flexibility as we move forward. The new term loan B matures in 2027. In terms of liquidity, we still remain undrawn on our ABL and have over $249.22 million in liquidity. In terms of acquisitions, we anticipate closing one to two acquisitions by the end of Q2. These transactions will continue to diversify DXP from an end market perspective as well as further strengthen our capabilities in key geographic regions. Our acquisition strategy continues to create value for DXP and our pipeline is strong and is expanding the different end markets. More importantly, the talent at the companies joining DXP is very high and brings expertise and valuable experience to our growing company. In summary, our priority from a balance sheet perspective remains focused on maximizing our financial strength and flexibility without sacrificing long term growth or market opportunities and position us to be opportunistic when any growth opportunities arise. This is what we did in fiscal 2020. Collectively, we are moving forward safely and positioning DXP to win today and tomorrow. Now, I will turn the call over to questions.
Operator: [Operator Instructions]. Your first question comes from Tommy Moll from Stephens. Your line is open.
Tommy Moll: Good morning and thanks for taking my questions.
David Little: Thank you. How's it going, Tommy?
Tommy Moll: Going good. Hope things are good for you all.
David Little: Good.
Tommy Moll: I wanted to start on your oil and gas end market. Clearly, last year, there were some headwinds there and now we look up in early 2021 and WTI sitting in the mid-60s. What kind of anecdotes can you share with us about the potential pace of a reacceleration there, if any? This might be one of those points in time where the commodity and the level of activity are dislocated but to the extent you can help us here forward, that would be helpful. Thank you.
David Little: So, Tommy, I think you answered your own question. But I think they are a little disconnected things. There is no question that oil and gas has kind of bottomed out and then there is the budgets, the capital budgets that the oil gas companies put forward this year are cut back. So we are not seeing a big V shape recovery, I guess is what I would say. That said, we were encouraged by the fact that things are progressing and moving forward, just not out-of-control forward. And you are getting better. And so that market will start improving and hopefully for sure will gain more momentum as the COVID vaccines take effect and we get into the second half of the year. But I think you said it best actually is that the price of oil has shot up pretty nicely. It's a very attractive price. And yet activity has been slower to recover.
Tommy Moll: Thank you. Thank you both there. And David maybe sticking with the end market theme. Going forward, it sounds like diversification through M&A continues to be a priority. I am curious, do you have a view on, say, one, two, three, pick your timeframe, some time in the future after you have digested a few more deals on what type of oil and gas versus industrial end markets split is a comfortable ZIP code to end up in? Or is it more just take the deals that are in front of you and we will think about the rest later?
David Little: No. We are trying really hard to sell as many pumps as we can into the oil and gas industry, but at the same time, we would like that exposure to get down to about 20%. I don't think it ever gets really lower than that. We are not like AIT which they mentioned 5% or some. But we are in that business. And we are in that business from a technical point, pump point of view, rotating equipment point of view, both mostly in the midstream area. Again, we are not in the upstream or not in the drilling aspect of it, et cetera. So drilling rig count doesn't really matter to us a whole lot. But it ultimately does because if they are not drilling new wells or replacing oil and gas then they don't need new equipment. But we are in the midstream part and that part is, like I said, is improving. And so I think as long as, we were founded as a pump company, we were founded in Houston, Texas. So if we ever got that, we are going to be an awful big company when we get oil and gas down to 20%.
Tommy Moll: I will look forward to following the progress there.
David Little: Yes. I do think it's smart and it will create some less volatility of our company which I think is important is, you know, as we move into water and wastewater, which is, that's just going to be there, food and beverage that's going to be there. Those are much, much more stable markets. I am not as concerned, by the way. I don't think we have to turn green tomorrow. I don't think we are going to live without oil and gas for a long, long time. So I welcome the opportunity to work on wind turbines. And I not quite sure how we play with solar panels. But wind turbines and the gearboxes and all the stuff, the turbines and stuff that are in there, we certainly can play in that area. Biofuels, we can play in that area. So I think we are being responsible but I think we are been realistic too.
Tommy Moll: Last question for me and then I will step back. Just focusing on, let's say, year-to-date or maybe first quarter trends, you have got a couple months in the book. What are some topline items you could highlight for us, maybe just a trajectory in terms of average daily sales if you know it or any context you can give there? And then on the costs of margin side, anything you want to make sure we are aware of just from the fourth quarter to first quarter progression there?
Kent Yee: Yes. Tommy, this is Kent. I will just walk through the sales per business day trends. And we have early indication of February. But technically, things could still be slightly moving. But just in terms of sales per business day, in October it was $3.9 million, in November $3.89 million, in December $3.45 million and then in January $3.82 million and then in February $3.81 million. And so those are the sales per business day trends. And so keep in mind, March is typically a big month for us. So that's what we are looking towards as we kind of go into ending out Q1 is that this month hopefully is a significant uptick as we normally see in March. In terms of your other question regarding cost, if you will. Q1 is always a disproportionately higher SG&A quarter, just because you have insurance, you have payroll taxes, you have some things. And so from an SG&A standpoint, while we have been kind, for lack of better word, sizing to the level of business activity throughout the business, you typically have a higher SG&A quarter in Q1. And so we would continue to expect to see back here at the beginning of the year. And so hopefully that answers your question. That said, we are obviously encouraged, by the way, from our gross margin trends throughout 2020. And if those continue to hold and move through in 2021, we will still see success of improvements on the bottomline. In addition and this will be my last comment is, obviously we will start to see the Q1 performance of all the acquisitions we closed at year-end and all those acquisitions were great performing businesses even in a pandemic year. And so their profitability will start to contribute in Q1 and so we look forward to that as well.
Tommy Moll: Great. That's all helpful. Thank you both and I will turn it back.
Operator: [Operator Instructions]. This will bring us to the end of our Q&A session today. Thank you everyone for joining us. This is the end of the conference call for today. You may now disconnect.